Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to Emerson's Investor Conference Call. (Operator Instructions) Following the presentation, the conference will be open for questions. (Operator Instructions) This conference is being recorded today, August 7, 2012. Emerson's commentary and responses to your questions may contain forward-looking statements, including the company's outlook for the remainder of the year. Information on factors that could cause actual results to vary materially from those discussed today is available at Emerson's most recent annual report on Form 10-K as filed with the SEC. It is now my pleasure to introduce our host for today Mr. Patrick Fitzgerald, Director of Investor Relations at Emerson. Please go ahead, sir.
Patrick Fitzgerald: Thank you, Diana. I'm joined today by David Farr, Chairman and Chief Executive Officer at Emerson; and Frank Dellaquila, Senior Vice President and Chief Financial Officer. Today's call will summarize Emerson's third quarter 2012 results. A conference call slide presentation will accompany my comments and is available in Emerson's website, at emerson.com. A replay of this conference call and slide presentation will be available on the web after the call for the next three months. I'll start with the highlights of the quarter as shown on Page two of the conference call slide presentation. Third quarter sales increased 3% to $6.5 billion underlying sales growing 6% as robust growth in process management was driven by strong energy in markets in recovery of sales deferred from the Thailand flooding and supply chain disruption. The strong US dollar particularly against the euro reduced growth by 3%. Gross profit margin improved 80 basis points from the prior year to a record of 40.5%. Operating profit margin of 19.9% increased 180 basis points from the prior year, benefiting from strong sequential operating profit leverage of 55%. Earnings per share of $1.04 increased 16% from the prior year achieving a record for the third quarter. Today Emerson’s Board of Directors approved a fourth quarter dividend payment completing 56 consecutive years of dividend increases. The third quarter reflected solid results with strong operational execution despite slowing of the global economy. Next slide, P&L summary. Again net sales increased 3% and underlying sales grew 6% with mixed demand among end markets and regions. Operating profit margin of 19.9% improved to 180 basis points to prior year benefiting from a strong volume leverage, cost reduction benefit and recovery of process management of sales and profit from the Thailand flooding.. Earnings growth of 13% along with the repurchase of 4.4 million shares drove an EPS increase of 16%. Next slide undergoing sales by geography. Underlying sales in the US grew 6%, Europe was flat, Asia grew 9%, Latin America grew 19%, Canada grew 10% and Middle East and Africa grew 5%. Total underlying sales grew 6%, currency translation deducted 3% with net sales increasing 3%. Moving to slide 5, profitability detail. Gross profit margin of 40.5% improved 80 basis points and achieved a record level. Lower SG&A as a percent of sales drove further margin improvement as operating profit margin expanded a 180 basis points. Other deductions was essentially flat as higher restructuring of $14 million and currency transaction losses of $11 million were offset by the payments received related to dumping duties of $37 million under the US Continued Dumping and Subsidy Offset Act. Pretax margin reflected an increase of 200 basis points. Next slide, cash flow. Operating cash flow decreased 6% as strong earnings were offset by higher receivables related to sales timing. Free cash flow was essentially flat to prior year with strong conversion from earnings at 90%. Trade working capital as a percent of sales was even to prior year benefiting from strong inventory performance. Moving to slide 7, business segment earnings. Business segment margin of 18.5% improved 160 basis points reflecting strong volume leverage and cost production benefit as well as the dumping duty payments received as mentioned earlier. Corporate expense declined $14 million, primarily due to lower stock compensation expense and interest expense decreased 8%. Moving to slide eight, Process Management results. Process management net sales grew 19% and underlying sales grew 23% as currency translation deducted 4%. By region, the US was up 29%, Asia up 25%, Europe up 14%, Latin America up 33% and Middle East and Africa up 13%. Robust investment in oil and gas, chemical and power industries drove growth in all businesses and geographies. Sales benefited from approximately $130 million of converted backlog related to the Thailand flooding supply chain disruption. Segment margin of 23.1% improved 270 basis points, primarily driven by volume leverage and cost reduction benefits. Year-to-date underlying orders have grown 17%, with the US up over 20% which has driven backlog of 15% from the prior year. Continued energy in market strength and the high backlog supported strong outlook for the next several quarters. Next slide, Industrial Automation. Industrial automation net sales decreased 1%, but excluding currency translation grew to 3%, with the US up 12%, Asia flat, Europe down 4%, Latin America up 9% and Middle East and Africa down 1%. Strong growth in the power generating alternators, hermitic motors and ultrasonic welding businesses were offset by decreases in the fluid automation and motors and drives businesses primarily due to European weakness. Segment margin of 18.8% improved 220 basis points, which benefited from the dumping duty payments as well as cost reduction benefits that offset material inflation, unfavorable product mix and higher restructuring expense. We expect the European fiscal prices and euro weakness to remain a challenge in the near-term. Next slide, Network Power. Network powernet sales declined 6% and underlying sales decrease 4% as currency translation deducted 3% of growth and acquisitions added 1%. By geography, US was down 14%, Asia up 6%, Europe down 7%, Latin America up 16% and Middle East and Africa down 6%. Global telecommunications and IT end markets remained weak particularly in the US. The Asia growth benefited from the NBN project in Australia, while Europe economic conditions were challenging. Pipeline rationalization continued in the embedded computing and power, deducted approximately 30 million from (inaudible). Segment margin of 10.3% declined 10 basis points from the prior year as volume deleverage, unfavorable inaudible) product mix and higher restructuring were partially offset by cost reduction benefits and materials cost increases. Profit margin improved in the Network Power Systems business from the prior-year quarter and sequential margin continued in the Embedded Computing and Power business. We expect the aggressive restructuring over the past year to continue to generate incremental cost savings and profitability improvement. Moving to slide 11, Climate Technologies. Climate Technologies' net sales decreased 2% and underlying sales declined 1%, the currency translation deducting 2% and acquisitions adding 1%. By region, the US was up 1%, Asia down 5%, Europe down 12%, Latin America up 9% and Middle East and Africa down 14%. US market improved, but channel conditions were mixed towards strong growth in residential and commercial offsetting weakness in service. China improved as well, but remained negative, while the rest of Asia was flat. And economic conditions remained a challenge in Europe. Segment margin of 20.2% improved 60 basis points despite the sales decrease --- cost containment and mix. We shipped our 100 million of scroll compressor in the quarter (inaudible) broad global installed base. US and China markets should improve at a modest pace but the weakness in Europe will continue. Next slide commercial and residential solutions. Commercial and residential solutions net sales grew 2% and underlying sales grew 7% as the heating products business divested in 2011 deducted 4% and currency translation deducted 1%. By geography, US was up 4%, Asia up 11%, Europe down 1%, Latin America up 5% and Middle East and Africa up 58%. Steady demand in the US commercial construction markets continued, segment margin of 20.4% improved 20 basis points as cost eruption benefits drove solid margin improvements. We expect US construction end markets to remain stable for 2012. Moving to slide 13, the outlook, a strong third quarter results keep us on track for a solid 2012 with the economic outlook with clear weakening, there's no apparent fix for the Europe debt challenges, US fiscal policy crisis or slower Chinese economy. The global economic uncertainty has limited visibility and companies are being cautious with investments. It is on current conditions the revised 2012 outlook as follows, underlying sales growth 3% or 4%, reported sales growth 1% to 2%, operating profit margin 17.5% to 17.8%, restructuring expense approximately $125 million, tax rate approximately 32%, earnings per share in the range of $3.35 to $3.40, operating cash flow at $3.3 billion to $3.4 billion and capital expenditures approximately $700 million. And with that I will turn it over to David Farr.
David Farr: Thank you very much. First I want to thank everybody for joining us today and I appreciate our shareholders and their long-term support. As you know, today the board did finalize our final dividend increase for fiscal 2012 by $0.40 to $1.60 for the whole year, our 56th year and along with approximately $1 million of repurchase in fiscal year 2012 which is our current target, a strong commitment of payment back to our shareholders in cash which is very, very important to our focus here as a company and our management team. At the same time, we have continued to increase our investments internally for growth. For capital we need to grow the company at record levels and our balance sheet stayed strong and liquid and we have the room to do what we need to do. We can control our own destiny. I also want to let you know that Zorro, my rally monkey and my baseball bat are here with me today to keep me in line and to make sure I do not lose my focus. Thanks to all those help for the tools as we know. I also want to recognize the operating executives across this company and especially the process management operating executives. They got the job done this quarter. They had a tough hand coming out of the Thailand floods and the situation that we hit early on this year. They mapped up the course of correction. They kept taking the orders, we didn't lose the business, we supported the customers and we've got the sale shipments done. This quarter we picked up approximately $130 million of sales from the impact that we had in the first quarter, we will have a little bit of more of that in the fourth quarter, probably $140, $150 somewhere around that range and a little bit leftover in the first fiscal quarter of 2013 but the team out there in process is getting the job done. Across the whole company operationally we are getting the job done. From an execution standpoint of cost reductions from shipments to backlog reductions they are getting it done. As I look at the pace of business the last 70 days, it is definitely slow, in early May when we had our last communication we talked about 7% to 8% underlying sales growth this quarter, we ended up at 6%. It’s a function of the weakening that we have seen around the world in the US, in Europe, China, Brazil, India clearly we have seen this continuing weakening in orders, our order pace has maintained around 3% we expected it will improve a little bit, it’s maintain probably the month of July too we haven’t got the following numbers but my gut tells me we are probably around 3% in orders in the pace for this month. The key for us is maintaining the order pace to deliver the backlog and reduce that backlog, the same game plan we just executed in our third quarter. Underlying sales will be slightly better in the fourth quarter, there are no more pattern but we need to execute on getting the sales out the door operations are focused on that and we believe that we can deliver. In addition to the loss of sales that we had in our underlying orders and sales this quarter, we had also had a stronger dollar which impacted us about $50 million in the third quarter from beginning to end and that pays unfortunately even worse as we go into the fourth fiscal quarter and we have been revealing those numbers for the last three [decades] and the order pace to keep an idea out there for the shareholders to know what we see happening relative to the stronger dollar. I personally like a stronger dollar, it reflects the stronger economy, I believe in it. It gives us a lot more leverage relative to managing our global company and we are a global company, we are not an export driven company. So I personally like a stronger dollar. I think it’s great for this country. From my perspective, Europe has continued to be a weaker economy I do not see any change in that as we go forward here into the next fiscal year. At this point in time I would expect negative growth coming out of Europe. I expect negative GFI again in 2013 in Europe and US have one big issue it's called a fiscal flip and fiscal mismanagement. It is causing corporations in the United States to pullback, pullback in the range that I referred to it you hear talk about this all the time. It's causing us to pull back in rein clearly, our capital spending in the third quarter was less than prior year and less than we have been running out from the pace basically. However, I still think that is going to continue because it could be a weaker pullback as we look at going on here in the next couple of months. I believe that companies out there right now are only spending what they need to spend, the uncertainty of what is going to go on relative to US fiscal policy is a big issue, it is a huge issue, people are only going to spend what they need to spend and people are cutting back on anything that they see for growth and I think that's going to be an impact relative to the whole rest of this calendar year relative to underlying US growth. In china, from my perspective China has stabilized. It has not picked up significantly, the economy is definitely weaker than prior years, and I think the economy in China will continue to struggle. The political transition is underway. We will see how that plays out but I see nothing at this point in time to change the growth profile of China significantly than what we have been seeing for the last six, nine, 12 months as we go into calendar year 2013. Relative to Brazil which is impacted clearly by the slowdown around the international markets and exports of the product, that economy has also slowed down in my opinion and we will continue to slow and struggle from a whole standpoint of their cost structure and also there is an export driven material marketplace which I think will be impacted. India also has its own issues right now be it from a political standpoint, a financial standpoint, inflation standpoint and power standpoint. India has continued to be a good market for us but I am concerned about the future, the next 12 to 18 months in India, given what's going on inside that country. Relative to leverage in the third quarter, it was an outstanding leverage. It's what we expected. We expected to get some money back from the government on the (inaudible) amendment. That’s been around. We’ve known about it for six months. We had a plan in the forecast; we had a plan in May. It would most likely be our final payment, maybe a [$1 million or $2 million] more in the future. This thing is going on but it's going to be finalized here but it's pretty much done for us. It was well planned. The rest of the operations have continued to execute on slower growth, leveraging back the cost structure, getting the job done in restructuring and position themselves for I think a slower growth environment for the foreseeable future. We’re doing what needs to be done across this company, protect our profitability, protect our cash flow and make sure we have a flexibility to deal with issues that come up, via Thailand flood, via embargoes, whatever happens, via wars around the world, we’re taking the actions necessary to make sure this company is strong and able to have a flexibility to get the job done. As I look at the fourth quarter right now, we have to execute just like we execute in the third quarter. We need process management to continue to reduce its backlog that we build up. The order pace has been very, very, strong throughout this whole year as you’ve seen. Its not just one month or two months have been strong now for a long time. We need to execute getting that order pace or those orders converted to sales. We need to get that backlog down and we need to deliver the profitability just like we did in the third quarter and I expect that team will do that. At the same time, we need to continue the restructure across network products which had good traction in the third quarter and we will have continued good traction in the fourth quarter. We are dealing with a lower growth environment than we expected, but we’ve got the cost in line as we started in way back three, four, five months ago, as we saw things slowing down. I feel good that he will continue execute this in the four quarter and I feel that we are ready to deliver a record level of profitability and hopefully a record level of sales given what’s going on at this point of time, but clearly with the underlying growth rate slowing down a little bit and given the fact that dollar continue to strengthen that getting tougher and tougher relative to the topline sales. But we feel good about where we are right now. We have a good start in the month of July; we alright now into August and we are executing. The top 40 executives of Emerson will be in town for the next three days working on the OCE talking about how we close out this year and talking about what we look at 2013 and basically making sure we’re positioned to continue to perform at high levels even if we had issues coming out of it. From my perspective again, I want to thank the operating team of what they got done in the third quarter. We will continue to execute. We have a fourth quarter challenge; we must make sure we deliver and I feel good about where we are right now and we are going into a 2013 to be honest that I think we’ll continue to be very challenging from growth and from the standpoint of what’s going to happen around the world. Companies need to be flexible, they need to adjust very quickly and deal with issues that come out to them. There are pockets of growth out there, but there are also pockets of weakness and it’s very important for us to focus on where that growth is and to delve back where the weakness is. But we are not looking at anything that in my opinion that’s going to quickly turn around and so a strong growth profile we are looking at a challenging growth environment very similar to what we are dealing with now and I expect that will continue throughout 2013 and may be even a little longer. So again thanks for us being with us today. Thanks for supporting us and we will continue to work hard to deliver a very strong finish to this year and to execute like Emerson can execute as we have done in the past. With that we’ll open the floor for questions. Thank you.
Operator: Thank you. Ladies and gentlemen we will now begin the question and answer session. (Operator Instructions) Our first question comes from the line of Christopher Glynn with Oppenheimer. Please go ahead.
Christopher Glynn - Oppenheimer: I had a couple on Network Power one, just how the chloride energy in the transformer list when that might start to drive some share reversion I guess? And then second early thoughts on repositioning budget for that next year, what kind of headway have you made on what you see as requisite for that segment?
David Farr: The new transformers product in United States has been introduced the first wave has happened; who knows what go in the marketplace from a share standpoint, who knows what’s going in the marketplace standpoint right now with the uncertainty. I think the whole Network Power systems business has had a good quarter and they continue to make good progress around the world and they will continue to make god progress the next quarter. My opinion right now, you are looking at a challenging marketplace these guys are serving and we will continue that way in 2013. I don’t see anything that’s going to say that this business a business environment is going to say that we are going to go out and spend money freely; we will have some clarity on what’s going to happen in Europe from a fiscal standpoint and what’s going to happen here in the United States from a fiscal standpoint. So we are planning on very low growth and continue to execute the restructuring, improve the profitability like we are doing and get the new products out the door, that’s where we are.
Christopher Glynn - Oppenheimer: Okay. And then just lastly the SG&A spends have been very steady five or six quarters; do you start to see any upward pressure on that spend rate; annual increases or what have you?
David Farr: I think from my perspective we are going to continue to keep our cost in line. We have gone out and pushed pretty hard on making sure we are spending appropriately. We are going to be looking at our spending on the big growth investments going into 2013 and look at which ones we want to maintain and which ones we want to curtail. But from our perspective right now I think our SG&A is in pretty good shape. The key issues we don’t want to like to drive to have our GP market hit the 40% level for the whole year, we are real close to that right now; we are a little bit shy of that as you look at the first nine months, I think we are setting at 39.9% or 39.8% somewhere around like that. So I think from an SG&A standpoint we are nor big spenders here and we move around from a mixed standpoint but I think we’ve got that pretty well in control.
Operator: Our next question comes from line of Scott Davis with Barclays. Please go ahead.
Scott Davis - Barclays: David it just look consistently that Latin America was very strong in the quarter; you did make some negative comments about Brazil. Can you just talk about maybe some timing issues there in the quarter and what kind of drove that strength and particularly in Network Power?
David Farr: I mean from a standpoint of Latin America there are a lot of projects, more of a projects business down there and we have had some good orders down there for the last six months both in Network Power, both in the process side and we are able to get those businesses out the door. Right now I think Brazil will still do okay; I think Mexico is far stronger than Brazil right now, Mexico has become a very important market for us and we have a very strong position there and it’s continuing to grow. So I think right now across Latin America expect another pretty good quarter; I expect another good year next year, but my concern about Brazil is they have made some big forecast relative to investment and capital and let’s say oil and gas type investments. And the question is will those continue to go forward or will they delay those a little bit? Right now our business is doing well down there; we expect to continue to do well down there but my focus right now is Mexico and it has continued to perform extremely well with a new government in Mexico, I am very encouraged by this new government and I am looking forward to meeting the new President and his team. I think Mexico is going to be $1 billion market for us in the next couple of years.
Scott Davis - Barclays: As a follow up, just trying to get a sense of how the markets changing and shifting in climate, I mean when you see tough conditions like this, does it rotate back towards kind of older technologies like reship away from scroll or is that just not an issue anymore?
David Farr: That’s not an issue anymore. I think the key issue on the climate standpoint is consumers very, very tight with spending money and last year they did a lot of repair work. This year they're doing outside unit and they're replacing the outside units. So it’s less service for us; more sales for OEM customers which is good for them. We get the compressor, but obviously at a different price point. As you know the scroll will continue to do well, you got another transition underway. That will happen effectively January 1, 2015. So the key North American OEMs right now are going through that process, you know, how they’re going to reach those new standards, and obviously we’re working very closer to those and you’re going to see that continuing. I mean the key issue for us right now is we need to see some stronger housing in North America. We need to see a stronger replacement market, but I am not expecting much of a big surge here. I expect some stability. The key issue also is that you have to see commercial, which is weakening a little bit and you’re also seeing a transportation type of marketplace weaken a little bit. So with regards to our global business, we have some plusses and some minuses. Right now, our mix is very good, so we've pretty good profitability and residential has not been one of the strength, but our commercial business has been very good and our refrigeration business has been very good.
Operator: Our next question comes from the line of Mike Wood with Macquarie Capital. Please go ahead.
Mike Wood - Macquarie Capital: Can you give us an update on the mid-tier sales strategy whether this backdrop is the right backdrop to continue with that and then China is it the right time to move into second and third tier cities given just 2% growth there?
David Farr: We've been moving into second, third and fourth tier cities in China for 10 years. So I think fundamentally China will continue to be a good growing marketplace. If you look at quarters and a lot of things happened, you have quarter surges, you have quarter backed off, the underlying China will continue to outgrow in my opinion the US economy and we may have a quarter or two of the sales are not that strong, but if you look back over the last 10 to 15, five, three years, we've averaged well over 15% growth, we have a tough year this year, it doesn't mean we are backing down. The mid-tier strategy is going to continue; we've started this 18 to 24 months ago. A lot of products have started launching. We have been building the organization and I expect China will have a better year in 2013 from an underlying sales growth standpoint just because of our businesses in our mid-tier projects where things are happening. I feel good about China even though it’s still going to be challenging and the economy could be weaker, I still think we are making the right moves at this point in time.
Mike Wood - Macquarie Capital: And can you give us an update on where you think the global fixed investment is running currently and how you are faring on outperforming that?
David Farr: The problem is the information is more of a rear view mirror it’s touched on. So right now the trend line has continued to deteriorate. I would say at this point in time the forecast I gave in May at EPG is holding path right now from that perspective and so I don't think it’s changed much. I don’t have anything that tells me it’s improved, but I definitely think it’s weakening. And I don’t have a visibility relative to how much is weakening because it’s so rear-mirror oriented and I think you got to wait for things to settle down for a while. But clearly economic numbers you are seeing around the world continue to weaken a little bit. And I think the business spending this quarter has been weaker, so that will reflect in the GFI spending. So my feeling is this is going to be -- the numbers I put out there and showed in EPG in May are still holding tight and I don’t have it off the top of my head, but they are out there in the charts, you can get them.
Operator: Thank you. Our next question comes from the line of David Farr.
Jeff Sprague - Vertical Research Partners: A couple of questions. The Network Power margin trajectory, it looks encouraging obviously. Where are you at on kind of the downsize of the Embedded Power relative to kind of the overall plan. And just kind of taking out a step further, I mean that margin improvement we saw in the quarter came on very little sequential revenue growth. Can you give us some context to think about restructuring saves your other dynamics are coming to play and kind of how we should think about this margin going forward?
David Farr: The Embedded Power restructuring, I mean we still have a little left, but it’s really getting close to finalizing from our perspective. From my perspective, the winding down and the repositioning, I think we are about there. I mean I expect them, our growth rates to be less negative, let's put this way in that space. So I think there from the restructuring you're going to see a slower number there. It will be even less as we go into starting into 2013. On the Network Power System standpoint, we still have a lot going on there relative to Europe because these programs take on -- you know they take on quite some time. It takes anywhere from 12 to 18 months for some of the restructuring there. But that will continue and that will continue going into 2013. Overall I do expect a restructuring dollars to probably end up being a little bit lower in 2013. And I would expect Network Power to spend less money in 2013 in total than we spent this year. It's a function of what we see happening relative to our European opportunities. The window opens up, we will obviously take advantage of that situation. Relative to the overall integration and where we see right now -- we're in pretty good shape. It's just a matter of continue to execute. I believe that we will see continued sequential improvement and profitability in the fourth quarter. You know it's a matter of how we are getting our backlog of the door and stuff like that. But I wouldn't say any robust improvement in the business space, it's more of an internal execution at this point relative to what we have, day-to-day business, getting the stuff out the door and continuing to finalize the restructuring. So we are really in control of our own destiny at this point and I feel good about it.
Jeff Sprague - Vertical Research Partners: How about CapEx? Are you planning to spend down next year on an aggregate Emerson basis?
David Farr: Probably not because as I've talked about for the last I think last couple of calls process has a capacity that you know, based on what we see on the underlying demand base on our backlog based on continued repositioning of the business on a global basis, we're going to have to improve our spending in capital as we put on that capacity in that regionalization. So I would say that we’re going to be up a little bit next year in capital and it is going to be primarily driven by process management because of the strong growth we've had over the couple of years, and I think we’re going to still see some pretty good growth there. So we need to make sure we reinvest for the next wave and you know, that’s where we are now, in the business cycle, just like we did a couple of years ago in Climate Technologies. You have the to get ahead of these things. You can’t wait or you will miss shipping opportunities.
Jeff Sprague - Vertical Research Partners: What's your feeling at this point appetite on M&A versus share repurchase, you know obviously nice bump in the dividend today. Where is your head on that now looking into 2013?
David Farr: Acquisitions are still, I mean I consider the acquisitions number one relative to share repurchase. It’s a function of you know, can we find the assets out there. There is not a lot of assets out there and we’re trying to work those assets, but we've had a couple of years of less than $300 million from a spending standpoint. You know, as you know, it's lumpy, we'll go two or three yes, you know, less than $500 million then we will have kind of have a big year. So we still are looking for the acquisitions. I would rather do acquisitions than share repurchase. But in the meantime our balance sheet is strong and we will continue to do the share repurchase if we have flexibility.
Operator: Thank you. Our next question comes from the line of Steven Winoker with Sanford Bernstein.
Steven Winoker - Sanford Bernstein: Just maybe a quick follow up to that last question. I mean given all your commentary that sort of trending more negative on the macro, even though it sounds more positive operationally, are you thinking about divestitures in the same way, same sort of longer-term timeframe even as the macro deteriorates or has that thinking evolved?
David Farr: I don't think our divestiture programs have changed from what I talked about, both at Bernstein conference and/or the EPG or even last February. We are looking at a multi-year program here. [Kanak] will be finished this quarter. We will evaluate some other assets as we closed out this year going to our strategy playing with the board in November. So, there is no change at this point in time.
Steven Winoker - Sanford Bernstein: Okay, great, and on the process conversion, you know, so much of that was on the backlog and you've got these record margins. So, as you think about normalizing kind of a normal growth rate without the excessively high backlog from Thailand. How are you thinking about margins evolving in that business as you head in to next year or through maybe later in the next year as that normalizes?
David Farr: On a quarter-to-quarter basis, the process margin will move around because of the type of mix we have clearly. But if we finish on 20% for this year, we will probably have a little bit uptick next year from a profitability standpoint. You know, I am not looking at a significant change in the margin of that business. Clearly from our profile, we’re investing quite significantly in underlying growth programs and technologies and we intend to continue to do that. We want to protect that core business. It's a very important core business to us and we are going to make sure that we protect it and not milk it. And so I think that you’re looking at low profitabilities for the 20% and we'll mix and match around that level at this point in time.
Steven Winoker - Sanford Bernstein: And maybe just sneak one more in on telecom. How are you thinking about end user CapEx in telecom and as you look at the next couple of quarters, how optimistic are you on that?
David Farr: I wouldn’t say I am optimistic. I mean I'll just put this way. I think the telecom guys are spending money. The question is not, can we continue to get a piece of that spending, but they are spending money and the question will be as what does that do as they go into 2013 but right now they have a bunch of pool of money they are spending and we have to make sure we get a piece of that. I mean I process, I'm far more optimistic about capital spending than I am of our customers than I am with the telecom spending, let's put it that way.
Operator: Our next question comes from the line of Shannon O'Callaghan with Nomura.
Shannon O'Callaghan - Nomura: Hey Dave in terms of pulling back on the reins obviously, your customers and process aren't doing it. Where particularly when you look within businesses by businesses are you seeing that specifically at customers?
David Farr: Well, I haven't personally called or received of my customers out there but I think that if I look at most customers and from the standpoint of looking at their inventory stockings and looking at the industrial customers I think the people are pulling back and being very careful to spend money and I would say that even the process guys are being a little bit more careful of spot where they are spending money, I don't know how you say they are not. I think these guys are going to be very careful about where they put their money. I think they are going to continue to spend on high levels but I think they are going to be very cautious. I mean across the board, last quarter if I remember correctly, if I looked at the spending in the GDP numbers of our business it actually weakened a little bit Shannon. So that's my input, I just might be out there talking to CEOs, they are being careful.
Shannon O'Callaghan - Nomura: Yeah, happened to spend with process it seemed I mean are…
David Farr: I'm not going to tell you business by business, if you want to go on out and call the CEOs I'll give you some numbers, you can call them if you want to Shannon, but I don’t personally do that.
Shannon O'Callaghan - Nomura: I'll take them.
David Farr: Okay, good I will give them to you.
Shannon O'Callaghan - Nomura: One more just on embedded power as you know you continue to downsize the business there, is that changing at all how you view the attractiveness of sort of the industry structure there and you've sort of got a smaller business to operate or whether it's still tough?
David Farr: Its still tough and I will make, I will review our decision on what we are going to do with this business as we go on this year with the board in November and we will be making a decision on what we are going to do as we talked about earlier, right now its still a very difficult marketplace relative to profitability and returns and a very dynamic marketplace, so the dynamics haven't changed and at this point in time I don't see any change relative to what we how we view it.
Operator: Our next question comes from the line of Julian Mitchell with Credit Suisse.
Julian Mitchell - Credit Suisse: Just a quick question on the industrial automation, as a new president of that business, I just wondered if any of the priorities that maybe changing along side that and in particular I guess around the outlook for restructuring, do you think there's going to be very high again in 2013. The business is kind of bumping along flattish organic sales growth, there seems to be some risk of maybe margins level of, so could you talk a little bit about the main priorities in [IA] right now?
David Farr: As we go through, Mark will be going through his first strategy session with us in September with the OCE, I would say the main priorities there are basically we are looking at a very low growth environment. So we know what restructuring needs to be done, its underway. Right now, what's the current plan for this year relative to the restructuring Frank, we are going to get the number here for this business approximately. $25 million, I think you can be looking probably again in around that $20 million level next year, so we are going to continue to restructure we can Julian in that business. It’s a very European centric business and we are taking our time relative to that. The key issue for us is we have new products coming out in the drives area. We have new products coming out in the couple of areas that's very, very important to us relative to reignite some growth in that market space. But overall, I think you are right from a low growth environment and the question would be to get our cost line to protect that profitability that would be the goal for [IA] next year. You are right.
Julian Mitchell - Credit Suisse: Just secondly on network power, the decline in earnings has sort of shrunk recently, but the earnings are still fallen for sort of seven quarters in a row year-on-year. So when we are thinking the next 12 months or 18 months for that business, how confident are you that we can get some kind of earnings growth there, for example is there reasonable earnings growth if we strip out embedded computing and power, so it’s just a question of maintaining that if something strategic happens to embedded computing?
David Farr: The key issue for us and to get the earnings growth going forward from here is to stop the [weaning] out of what the businesses we don’t want to be in, and that process is truly slowing down and we should start seeing some earnings growth as we go forward here because the majority of that [weaning] is almost done, the profitability is improving, we are taking the cost action side. So we will continue to work on that issue and feel good that we will some underlying growth and we will start getting some underlying earnings growth in that space. As we go to that process, it takes time and obviously a very challenging process but I feel good we are making headway as we go into 2013 and 2014 I see that we will get some earnings growth out of that. We have done this before and we will get it back.
Julian Mitchell - Credit Suisse: Just to follow-up quickly, so excluding embedded computing, the earnings in network power…
David Farr: I am not going to tell you that. I mean I would like the breakout next time. Good try Julian, nice try.
Operator: Our next question comes from the line of Dean Dary with Citi Research. Please go ahead.
Dean Dary - Citi Research: Can you comment on the increase in the receivables at the end of the quarter was all just the timing of shipments?
Frank Dellaquila: I mean we had a $550 million sequential increase in sales. So its really just the timing that caused the receivables to pop up in the third quarter.
Dean Dary - Citi Research: So that check for the (inaudible) clear successfully?
David Farr: Yes. They took my tax payment and paid it back to me, to the company.
Dean Dary - Citi Research: That’s good to hear. And then Dave you got the top, you said the top 40 Emerson executives are going to be gathering, may be you can just give us a sense of the agenda? I am curious of hearing has the agenda changed in what you were thinking may be a month ago, what are the kind of a key hot spot this year as we go through LIBORS, new product introductions, pricing, what could you share with us?
David Farr: Good question. The answer is yes it has to change in the last 60 days. From my perspective the number one issue is, if you at the underlying growth rates above the emerging markets then you see the trends that sort of common out here over the last 12 months to 18 months. We have to figure out how we are going to manage and a little bit lower growth environment for a couple of years as we talked about May. I think we’re looking at some challenging; it could be three, four, five years here. The other key issue from my perspective we got to talk about is talking about where do we want to put our incremental investment dollars. We have been very strong and as you know, some of the what we call it A12, A13 programs and we’re going to continue to invest in those dollars, what big programs we want to invest in, given the type of environment we’re in right now and the market mix we see right now, where do we want to put that as dollars and the business leaders in the OCE, and the top 40 guys and people and those guys will be discussing that issue. The other issue would be, my opinion is we're now going into I think little bit more of a negative material type environment. We had environment here, we surged up in material cost and raised prices now, its starting to weaken in a little growth environment, I think you’re going to be looking at more of a negative material type environment and how do you maintain our pricing integrity, our green, we call that net green environment and that and trying to manage it very carefully. So those are the things I want to talk about.
Dean Dary - Citi Research: May be just rhetorical but just to understand environment compared to discussions you had with the same team in 2008?
David Farr: Well, in 2008, we’re looking at, clearly a lot higher growth globally. You know, we weren’t looking at the type of debt structure we have out there and you’re looking at a whole different growth profile at that point in time. So you know, it’s a more selective focus growth area and so you know, that’s where we want to get our minds around. Where do we want to put those dollars to make sure we get the returns and make sure that we drive as much growth as we can in the pockets out there, in the areas we don’t have that opportunity growth, what restructuring, what reposition can we do to protect our profitability. I still believe the company can grow. I can think we can improve our profitability and deliver high levels returns in cash. But the question is then how do we get that and where do we invest that money carefully, that's what's it's about.
Operator: Our next question comes from the line of Steve Tusa with JPMorgan.
Steve Tusa - JPMorgan: So the Network Power, US was down I think high single digit, was that just the telecom stuff not coming back this fast that you thought?
David Farr: Yeah, telecom and also some of the embedded stuff that we get out of, is also US based type business, but that’s primarily what was down in the US.
Steve Tusa - JPMorgan: So in the embedded comp actually here in the US, not just in Asia?
David Farr: You got it, typical business and we try, even though some of the products are made and sold over there it’s actually that we look at destination and destination comes back in the US.
Steve Tusa - JPMorgan: And then piggybacking on Jeff’s question about the sequential margin, you know last year you went from 10.5 to 13.5 from third quarter to fourth quarter. How do we look for the fourth quarter Network Power for this year?
David Farr: We are still looking at. Last year with our 300 basis points, we are looking probably half of that. So we are still looking. The key thing for us Steve is we've been restructuring. We've got some stability there and the question is actually including around the products, the new products are coming out and getting that job done, so we see the momentum right now, the profitability is improving and I'm pleased with that.
Steve Tusa - JPMorgan: And then on the alternator side, you said power generation was strong, but it seems like CAT gensets have been pretty weak year-over-year. There's probably less inventory in the channel relative to where it was and kind of the ’08 or ’09 time period, so maybe it’s more real time these days, is that business, is that kind of the source of the concern going forward when you talk about Europe, because I know that supported your Europe revenues I think?
David Farr: I think that from a genset standpoint, what we do and what CAT does a little bit different timing different here but we also you know half of our business is non-CAT. From what we see right now clearly what happened in India is a good issue for us, the gensets and we are a strong player in India, Indonesia. I am little bit nervous about that we are sitting at very, very record levels of our alternator business right now, so I am a little bit nervous about that, I think Europe is weaker, but I still think that this power needs around the world, the economy is hold up and we still have power issues around world. We should have a reasonable year next year, but it is a concern for me because if you look at the general order patterns, not been that strong and you are right the actual inventories out there are not that big either. So that’s a plus we live a lot day to day in that area. But I am obviously nervous overall that overall underlying power needs and economy needs well emergency is out there like in India; it’s good news for us.
Steve Tusa - JPMorgan: Okay, one last question for you a little bit picture, you obviously had a lot going on first quarter of last year whether it was the seasonality, and climate, the network kind of air pocket whatever you want to call it the process stuff. If you kind of model normal seasonality you have got some pretty easy comps in the first half of the year, but you are talking about how cautious people are in the near-term and obviously the fiscal cliff who knows when that gets resolved. So I am just trying to kind of put those dynamics together. When you go out and you think about ‘13 will it be as easy as saying hey comps are easy so we’re kind of come strong out of the gate or is it the economy is going to be do that so it will be more kind of straight line as we move through the year, next year?
David Farr: I really haven’t thought about that long; all I know is as I look at the trend line, I know next year is going to be very difficult year for any one to model because of how disaster first quarter we had and almost a disaster in the second quarter and then started coming back; I mean very difficult where I have to get some, we’re going to have people in this one for sure because it’s a little bit more help than I normally give, because I don’t give quarterly forecast as you know Steve. As I look at it, I am looking at a – if I am saying underlying growth rate, it’s going to be low single digits next year and I think – I wouldn’t at straight line, its not how I am thinking at; I don’t think that – its hard for me to say but right now I am though about that first and second quarter but I don’t think its going to be say easy comps and then we’ll just have a straight line. I just think what to think about how that first year unfolds, how our backlog finishes and the order pace go into this as we finish September; it’s not going to be a difficult year.
Steve Tusa - JPMorgan: Sorry, did you say low single digits underlying sales growth?
David Farr: Yes I did.
Steve Tusa - JPMorgan: Okay, that’s for ’13?
David Farr: Yes.
Operator: And our next question comes from the line of Brian Langenberg with Langenberg & Company. Please go ahead.
Brian Langenberg - Langenberg & Company: A couple of questions; just on the process side, just review with this backlog that flowed through from Thailand, was there – were most expenses incurred in earlier periods in the fiscal and basically kind of what the incrementals were just on that piece of flow through; did it unusually boost the margin in the quarter; that’s my first question?
David Farr: It definitely helped, but I am not going to tell you, I am not going to tell you that; if that’s from me you are not to know. So clearly, the way this thing works is we incurred costs, we definitely incurred costs, we built the product and put it inventory, there is no doubt we captured cost that way. We also had around $35 million spread even throughout the years, coughed we’re having to incur because of the extra dime in this overall cost, customer cost from that standpoint. So if you think about, we had what was the EBITDA margin for the quarter its approximately 23%. You know, we've been running around for 20% for the whole year and so for a company. So we clearly had a pretty good incremental flow through on that profitability. For us it's the same, was it Thailand related, was it not Thailand, its an exercise that basically left pocket, right pocket and I am not going to waste my time on that. I mean, process guys got one thing the guys do from this quarter, they got to ship a lot of sales and make a lot of money. And so that’s the one we’re focused. But we had good flow through obviously at 23%.
Brian Langenberg - Langenberg & Company: No, clearly, I not trying that I missed, so basically some of its usually good growth, some of it is bad, some of it sounds like lower expediting cost if you will.
David Farr: And you are right. We did capture stuff in inventories. There is no doubt we do that to ourselves.
Brian Langenberg - Langenberg & Company: Okay and then can you just overall talk about price loss for the total company in the quarter, total price net of loss in material?
David Farr: You know, its still positive, right now because our price, we take pricing actions more early in the year and so if you remember correctly, we had probably the first quarter was negative. We went slightly positive in the second quarter, we went more positive and so right now we’re obviously what we call green net material price, we'll again have that in the fourth quarter and then what we will do is we will start working the price increases and clearly as I’ve said earlier, we’re looking at more of a negative net material inflation environment so therefore next year it's going to be a different environment. This year we’ll probably end up totaling around lets say around 0.5 positive, 0.4 positive price; I don't know what the number is going to be. Next year, we will have to fight hard to hold to zero, but net material inflation is going to be negative. And so we’ll be working that issue as we go into that now, but clearly, we’re going to going into a different environment and the key thing I what, my management team will be thinking about it, how do we manage it going from a more costly, material cost environment to a negative one and how you manage in that pricing get back as you go through that process.
Brian Langenberg - Langenberg & Company: And just last one, great SG&A performance, your sales year-on-year up $270 million, your SG&A was down $25 million, so there's such same returns of normalized of SG&A, of course talking $60 million or $70 million, how much of that was just discretionary pullback and just kind of put some chunks around what you did in the quarter to manage that. You clearly played it really tight?
David Farr: We started about almost 90 days ago and I think on the last conference call in May I talked about, we really started pulling back in the range and we started talking about not necessarily placing people, the restructuring savings have come into play in the second half of the year where we took some costs out in the SG&A level. We are being very cautious relative to our spreading levels and so there's a little bit of that going on, but its just basically being cautious and allowing that growth; we have 6% of growth without trying to increase our spending levels and when I try to do the same thing again this quarter in order to get the leverage, because for us to deliver the whole year it doesn't take a rocket science to figure out what kind of margin I need to have in that fourth quarter. And so we are going to keep that spending level really tight right now. I am really nervous about what's going on around the world and so I am pulling those reins back. I haven't yanked the reins back and put the bit in the horses’ mouth real hard yet, but I could easily do that and you could see the power cost come down.
Operator: Thank you. We have no further questions. I would like to turn back over to management.
David Farr: Good, again I want to thank everybody for joining us today. I appreciate the questions; I appreciate the support and (inaudible) and the baseball bat are going back in the shelf and will be ready for the next quarter. So you all take care. Thank you very much.
Operator: Ladies and gentlemen that does conclude the Emerson third quarter fiscal 2012 results conference call. Thank you for your participation. You may now disconnect.